Operator: Ladies and gentlemen, thank you for standing by and welcome to China Index Holdings Limited FY 2020 Full Fiscal Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded. I'd now like to hand the conference over to Ms. Jessie Yang, Head of Investor Relations of China Index Holdings Limited. Thank you. Please go ahead.
Jessie Yang: Thank you, operator. Hello, everyone and welcome to China Index Holdings fourth quarter 2020 earnings conference call. Joining us today to discuss CIH's results are our CEO, Ms. Yu Huang; and Financial Controller, Ms. Lili Chen. After the prepared remarks, our management will answer your questions.
Operator: Thank you. Ladies and gentlemen, we’ll now begin the question-and-answer session.  First question comes from the line of Gary Zhou  from TL Capital. Please ask your question.
Unidentified Analyst: 
Jessie Yang: So I will translate briefly. The two questions asked were. The first question was looking back on 2020, under the influence of a global pandemic COVID-19, CIH still achieved 10% growth rate. We would like to know, what kind of efforts has the company and management made to contribute and achieve this growth? The second question is, under the macro view, from recent -- China's recent real estate market trends, could you please share your views with us on, the Chinese real estate market in 2021? And the outlook for, business development for, CIH in 2021? Thank you.
Yu Huang: 
Jessie Yang: Hi, there. So I will translate Ms. Huang's response. 2020 was a difficult year for everyone, due to the global pandemic which affected not only the global economy but also our business as well. Our growth last year comes mainly from the increase in the number of customers. Normally every year with the increase in our products and services as well as the quality of the products and services we increased our prices.
Yu Huang: 
Jessie Yang: I will translate Ms. Huang's response to the second question. For the second question you asked about real estate market changes in 2021 as well as our outlook. In 2021 CIH's outlook for the economy as a whole is that economy will fully recover and the Chinese real estate will see a greater demand from its increase in urbanization needs. We maintain a positive outlook for the growth in the real estate industry in China. We do believe that there will be structural change which means that Tier 1 and Tier 2 will see an increase in growth. And this presents opportunities for our business growth. We do expect a change in our client needs because their revenue may decrease due to the increase in regulations. So our price increase strategy as discussed previously will continue to face some tailwinds. In general, we remain optimistic and we plan on expanding our services to more cities as originally planned. In 2021, we plan to continue this strategy. And by the end of Q1, in 2021, we hope to have 30 cities in -- with business operations and by the end of the year, 40 cities. And through the extension of our business, we expect to grow our revenue. Thank you.
Operator: Thank you.  All right. If there are no further questions, I'll turn the call back to the management team for their closing remarks.
Jessie Yang: Thank you, operator, and thank you everyone for joining China Index Holdings fourth quarter earnings call. We look forward to speaking with you again for our first quarter 2021 earnings call. Thank you.
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may all disconnect.